Operator: Welcome, and thank you for joining Rayonier’s third quarter 2013 teleconference call. At this time all participants are in listen-only mode. (Operator Instructions). I’d now like to turn the call over to Mr. Hans Vanden Noort, CFO. Sir, you may begin.
Hans Vanden Noort: Thank you and good afternoon. Welcome to Rayonier’s Investor Teleconference, covering third quarter earnings. Our earnings statements and presentation materials were released this morning and are available on our website at www.rayonier.com. I’d like to remind you that in these presentations we include forward-looking statements made pursuant to the Safe Harbor provisions of Federal Securities laws. Our earnings release, as well as our Form 10-K filed with the SEC lists some of the factors, which may cause actual results to differ materially from the forward-looking statements we may make. They are also referenced on page two of our presentation material. With that, let’s start the teleconference with opening comments from Paul Boynton, Chairman, President and CEO. Paul?
Paul Boynton: Hey, thanks Hans. Good afternoon everyone. I’m going to make a few overall comments before turning it back over to Hans to review our financial results, and then we’ll ask Lynn Wilson, Senior Vice President of Forest Resources to comment on our timber result. Following our review of Forest Resources, Chris Corr our newly elected Senior Vice President of Real Estate will discuss our real estate results; and Jack Kriesel, our Senior Vice President of Performance Fibers will take us though the results of the cellulose fibers business. We are pleased to report third quarter earnings at $57 million or $0.44 per share, reflecting solid business unit operating income, particularly from forest resources due to improving U.S. timber markets and robust export markets in Asia Pacific. Our operating cash flows continue to be strong with cash available for distribution well above our dividend. In addition to continued strong performance, financial performance in the third quarter, we executed a successful ramp-up of production after the late June start-up of the Complex Cellulose Specialties Expansion project at our Jesup Mill. The equipment is performing very well and the product quality has continued to exceed our expectations. We are also pleased with our operating results of our New Zealand joint venture, in which we increased our ownership interest in April. The ventures operating income is well ahead of our projections at the time we acquired the additional interest, reflecting both the strength of the Asian export market, as well as our ability to reduce operating cost in the new structure. We are well positioned for long-term play in the Asia Pacific basin. Our balance sheet and cash flows are strong, providing us with financial strength and flexibility to execute on our strategic objectives. Now with that, let me just turn it back over to Hans and review the financials.
Hans Vanden Noort: Thanks Paul. Let’s start on page three with the overall financial highlights. As Paul noted, the third quarter was very solid with sales of $385 million, operating income of $84 million and net income attributable to Rayonier of $57 million. There were no special items this quarter. Although in the second quarter of 2013, both operating income and net income include a $16 million gain from acquisition of the additional 39% of our New Zealand joint venture. We had excluded this item and the results of our discontinued wood products business, which we sold in April, to arrive at pro-forma operating income and pro-forma net income, which will be used throughout this call for the comparisons with the prior periods. On the bottom of page three, we’ve provided an outline of capital resources and liquidity. Our year-to-date cash flow was strong with pro-forma EBITDA of $425 million and cash available for distribution of $222 million. We ended the quarter with about $1.7 billion of debt and $261 million in cash. On a net debt basis, we finished at about $1.4 billion. We continue to feel very comfortable with our current balance sheet and liquidity. Let’s now run through the variance analysis. On page four we prepared a sequential quarterly variance analysis. In Forest Resources, third quarter operating income was comparable to the second quarter as markets were relatively stable. Real estate income was also comparable to the prior quarter. Moving to Performance Fibers, you can see results were well below Q2, reflecting lower cellulose specialty volumes due to the timing of customers’ orders and higher wood costs as a result of the unusually wet weather in the Southeast. The impact of the CSE project conversion from absorbed materials to producing commodity viscose is included in the cost mix of the line and reflects the increased depreciation, the lower production rates and the incremental cost of producing commodity viscose instead of absorbed materials. Corporate net expenses were $2 million below last quarter, which was impacted by higher legal and business development costs. Turning now to page five and the year-over-year variances, the third quarter and year-to-date variances to the prior year generally have similar drivers. Our Forest Resources results reflect the improved prices in volumes in most U.S. regions, driven by strengthening demand in saw timber and higher New Zealand earnings due to strong Asian demand and the increased ownership in the JV there. The Real Estate results were comparable for the third quarter, but favorable on a year-to-date basis due to a significant first quarter 2013 non-strategic sale. In Performance Fibers sales specialty prices were higher, but offset by lower Cellulose Specialties volumes due to the timing of orders. Cellulose Specialties cost were higher, primarily due to the wood cost as a result of the wet weather. Again, we as expected impact of the CSE project conversion is included in the cost mix other and reflects the same factors; increased depreciation, lower production rates and the incremental cost of producing the viscose, which all contributed to results well below the prior year’s amount. If you turn now to page six, where we reconcile from the cash provided by operating activities, which is a GAAP measure, to our non-GAAP metric of cash available for distribution. Our year-to-date cash flow is quite strong with CAD of $222 million. This is for the last year, primarily due to a $70 million tax payment we made in the first quarter of 2013, to exchange our alternative fuel mixture credit for our larger cellulose credit. Even so, our CAD is well above our dividend payout of $175 million. With that, let me turn it over to Lynn.
Lynn Wilson: Thank you Hans. Good afternoon. Lets start with page eight and the northern region, which primarily comprises Washington State operation. Delivered saw log prices increased from the second quarter and were 17% higher than last year’s third quarter, driven by strong domestic and export demand, especially to China, somewhat offset by higher delivered costs. We took advantage of the strong export demand and closed proximity to port by selling 35% of our delivered saw logs into the export market. Stumpage prices declined from the prior quarter, solely due to the mix of tracks being harvested. Volumes were equal to both the prior quarter and the prior year quarter, as we continue to take advantage of favorable pricing and operating conditions. For the fourth quarter of 2013, we believe demand will continue to remain strong, driven by domestic log markets and continued demand from China. Overall, based on current market conditions, we expect delivered log prices will be up 10% to 15% in 2013. In the Atlantic and Gulf regions on page nine, average client stumpage prices increased slightly from the second quarter, mainly due to supply restrictions from wet weather as our stumpage model allowed us to flex and capture these higher localized pricing, as well as increase saw log demand. Prices were above the prior quarter and the same period last year for both saw logs and pulpwood. Pine saw log prices increased 13% from the second quarter and 18% from the prior year quarter as additional wood products capacity is slowly coming online. For the fourth quarter we expect the pine harvest volume will be comparable to third quarter. For the full year we anticipate pine prices for 2013 will be at 5% to 10% above 2012. Now let’s focus on our joint venture in New Zealand on page 10. In the second quarter we acquired an additional 39% in the joint venture and increased our ownership to 65%. Although export prices were slightly down from the second quarter, we saw them lift towards the end of the third quarter and current prices to China are at their highest level of this year. Domestic pricing increased for the quarter in New Zealand dollars by 4.5%, although the chart depicts a decline of $1 per ton in U.S. dollars. We expect domestic pricing to increase again in the fourth quarter and export pricing to be higher than the third quarter level. For the year we expect export pricing to be 10% higher than 2012 on the strength of Asian demand and we anticipate domestic pricing to increase 5% to 10%, supported by both strong export markets and increased domestic construction. Total year volume will decline 10% to 15% from 2012 as we adjust New Zealand harvest to match the age class distribution across the estate. Overall Forest Resources operating income including New Zealand should be well above 2012, due to stronger domestic and export demand, driving higher prices and continued strength in pine pulpwood market. Now, let me turn it over to Chris Corr to cover real estate.
Chris Corr: Thank you Lynn and good afternoon everyone. Real estate operating income was comparable to the same period last year and favorable to the second quarter. HBU volume as seen on page 11 was greater than the same period last year and pricing was comparable as seen on page 12, when adjusted to reflect the value of the timber reservation on a large sale in Georgia as noted. Demand for rural HBU property remains solid, particularly in the Gulf region markets, and we continue to experience strong interest in property from our recent acquisitions. In the third quarter non-strategic timberland sales volumes were lower, but prices higher than the same period last year as seen on page 13, reflecting the impact of a 5,500 acre sale in Georgia in 2012 on which all of the timber was reserved. Demand for non-strategic properties is strong and we expect that acres sold for the full year will be up significantly from each of the prior two years, due primarily to a large transaction that actually closed today. This is a timberland sale of more than 21,000 acres and a big part of the fourth quarter and its done now, so good news. Although we are not yet able to discuss specific details, we expect to close on a small but meaningful industrial property in the fourth quarter and we are under contract with the National Home Builder for 600 acres in Jacksonville, in the Jacksonville metropolitan area, the sale of which is expected to accrue over a five year period beginning late next year. In summary, our third quarter real estate operating income was generally comparable to both the same period last year and last quarter. Due to the exposure that some of our entitled and certified sites have been receiving, we anticipate that the pace of interest in certain HBU properties will continue to accelerate as the economy improves, especially for those in the interstate 95 coastal corridor. We continue to expect significantly improved results for the full year, driven by higher demand for our non-strategic properties and continued solid interest in our rural, recreational and conservation properties. Now, let me turn it over to Jack Kriesel to cover Performance Fibers.
Jack Kriesel: Thanks Chris and good afternoon. The third quarter was highlighted by our overall strong operations, particularly the better than planned quality and production from our CSE project. As we begin our multi-year transition to all cellulose specialties, you will notice that we have made a couple of changes to our presentation to better explain our results. These changes include the elimination of absorbent material product line statistics and the inclusion of commodity viscose and other which includes off grade. On page 14 you see net selling prices for our product lines. Compared to the second quarter, cellulose specialty prices increased 39% a ton or 2%, primarily due to mix. Compared to the same quarter in the prior year, cellulose specialty prices were up $56 a ton or 3% due to the 2013 price increase. Commodity viscose and other pricing was $789 a ton during the third quarter. Moving onto page 15 and looking at volume, our third quarter cellulose specialty sales volumes decreased 20,000 tons from the prior quarter, mainly due to timing of customer orders. Commodity viscose and other sales in the quarter were 19,000 tons or about 15% of our total sales volume. As Hans noted, overall cost increased in the quarter as a result of higher wood prices due to wet weather, lower production volume as a result of the CSE start up and a higher cost of commodity viscose production relative to absorbent material. As a result, we still expect that 2013 performance fibers operating income will be approximately 15% below the 2012 record results. Qualification of the CSE acetate fibers continues with customers’ trialing larger test quantities and we’re pleased to report that feedback has been very positive. The total cost in project was approximately $388 million, which is within the previously stated range. As we have discussed in previous calls, our plan was to sell the majority of the CSE production volume as commodity viscose in the second half of 2013 and we do not see any significant change to this plan. We are currently in negotiations with most of our customers for 2014 pricing and in some cases volumes. It is clear that while overall market demand remains solid, we are entering a very different dynamic than we have seen in the last five years based on three main factors. First, as mentioned in our July call and by our competitors, we are seeing softening in the European construction and automotive markets. Although these are not current large markets for Rayonier, we see indications that competitors who supply those markets are trying to place volumes in the higher value sales and specialties markets. Second, very low viscose pulp prices are causing swing competitors to aggressively pursue higher value sales specialty markets and third, additional sale of specialty capacity is factoring into the supply demand discussions. Rayonier has been the sales specialty business for decades and we’ve seen change in its dynamics before, so these are not surprising. While we are still in the midst of negotiating 2014 pricing, there is no question that downward price pressure exists. As a result we will remain flexible in our planning and maintain our optionality. You may consider the pace at which we’re feathering in our incremental sales specialties production from the CSE project to better align our supply and volume with the current market. We expect that it may now be in the 2017-‘18 timeframe, rather than the 2016- ‘17 before we fully place our incrementally 190,000 tons of capacity into the sale of specialty markets and that incremental 2014 sales specialty volumes maybe well below our previous estimate of 90,000 tons to possibly in the range of 25,000 to 40,000 tons. As has been our practice, we will give you specific guidance in our January call following the finalization of our negotiations. Now, let me turn it back over to Hans.
Hans Vanden Noort: Thanks Jack. Now I’d like to provide some updates of our key metrics for 2013. We expect depreciation, depletion and amortization of $191 million and the non-cash cost base of land sold at $10 million or about $201 million in total. Capital expenditures, excluding strategic investments for timberland acquisitions in the CSE project are expected to total about $157 million. 2013 spending on the CSE, a $144 million or a total project spend of $388 million. We expect interest expense, net of interest income of about $43 million, which is net of $6 million of interest capitalized for the CSE project.  With respect to income taxes, we expect our effective tax rate from continuing operations to range from 15% to 17%. When you put all these elements together, we again anticipate very strong cash flow; we expect pro-forma EBITDA will be moderately higher and operating income and CAD will be slightly above 2012. Now let me turn it back to Paul for some summary comments.
Paul Boynton: Thanks Hans. As you’ve heard, we had another strong quarter and for the year we continue to expect a slight improvement in operating income and a moderately higher earnings per share, even with the impact of the CSE conversion. In the first three quarters of the year we benefited from a still early stage recovery of the U.S. housing market, solid pulpwood demand and strong saw log export markets in the Pacific Northwest and New Zealand. This quarter we are encouraged by more widespread strength in the saw log markets across the U.S. sale that should continue as housing markets recovery. As we look forward, not only will our rising housing market propel saw log prices and improve our saw log pulpwood mix, it will also drive volume in prices for our real estate business. We’ve also noticed that we are encouraged by the increased interest in our development properties and we believe that we are entering the period of long-term potential and value. These two businesses, Forest Resources and Real Estate remain well positioned to benefit from a stronger U.S. economy. In Performance Fibers, as Jack noted, we are in the middle of price negotiations revealing a new market dynamic. We’ll continue our negotiations and we’ll have a future update for you in January as usual. We continue to believe that the extended capacity of high purity, technically demanding cellulose specialties from the CSE project strategically positions our performance fibers business for long term growth and profitability. We are fully focused on this unique potential, creating what is truly a specialty chemicals business. In summary, improving timber and real estate markets along with a successful CSE product startup with this potential of long term growth, gives us confidence and we are well positioned to drive cash flow and value creation in 2013 and the years ahead. Now, with that I’d like to close the formal part of the presentation and turn the call back over to the operator for questions.
Operator: (Operator Instructions) First question comes from Mike Roxland, Bank of America/Merrill Lynch.
Mike Roxland - Bank of America/Merrill Lynch: Thanks very much, good afternoon. First question was on I guess Jack. Have you seen any of your competitors make inroads into the higher end sale of specialties thus far? The way that I’ve always though about your business is that its relatively defensive, so I wanted to know, get a sense of how quickly a competitor could get access to some of your customers in the higher end cellulose specialties.
Jack Kriesel: Mike, as you know it’s difficult for people to get into this market relatively speaking. Now there is the aspect of customer intimacy, that knowing a customer, knowing exactly what they want, particularly from any R&D perspective, the process knowledge that Rayonier has, we gained over 85 years is hard to duplicate and as we discussed in the past, there is significant capital investment. So it’s very difficult for someone to jump in. Now what is creating some drive here is the delta between the current CS pricing in the $1,900 plus level and the viscose market, which is in the $800 to $900 level. So there is a lot of push, both from these competitors that are typically in the commodity viscose market to get into the CS market, and there is a lot of drive from a customer perspective to try to make these other competitors work. So it’s not something that can happen quickly, although adjustments can be made. Again, we’ve seen these things, these cycles a number of times over the years, its not unusual and we’ve seen them revert back to a scenario where it’s a very tight market and they go chase the commodity viscose.
Mike Roxland - Bank of America/Merrill Lynch: I mean, is it possible for us to actually see prices decline next year?
Jack Kriesel: No, it’s too early for us to really talk about that. As we noted, we are looking and working closely with our customers, but our prices have gone up significantly over the years. Over the last five years it’s gone up roughly 50%, so prices go up and in different supply and demand markets; prices could go down.
Paul Boynton:
Mike Roxland - Bank of America/Merrill Lynch: Got you and the last question and I’ll turn it over. I mean if you weren’t in a scenario where you actually have to product or you just like to do some more commodity viscose in the near term in 2014. Will you have any impact from Chinese duties on dissolving pulp? I mean, what I’m trying to get at is, if the Chinese have duties or they place these duties on dissolving pulp, make it uneconomical for you to actually ship, what kind of condition are you in and what can you do to, if you can’t produce the high end stuff, or you can produce it but its prices are declining, you are forced to produce in this case some of the - more of the commodity end, but you have to face increasing Chinese duties. I’m just trying to get a sense of what alternatives you have available at your disposal to deal with that type of situation?
Jack Kriesel: Yes Mike, this is Jack again. I think we discussed in the last call, we are working really close with the Ministry of Finance in China and as well with others, and at this point in time we don’t really know what that impact is going to be. Initially we expected to here at the end of this month and now they are saying it could be November and the range of the impact could be minimal for some, extensive for others and if we are faced with a duty, if we have already developed some contingency plans to work around that thing. Certainly I’ll share those with you at our next call, but we’ll see where this things lands. We feel we are in good shape.
Mike Roxland - Bank of America/Merrill Lynch: Thanks guys. Good luck in the quarter.
Jack Kriesel: Thank you.
Operator: Next question from Chip Dillon, Vertical Research Partners.
Chip Dillon - Vertical Research Partners: Hi, just a quick clarification. I’m sorry if I missed this, but on that last question, is the duty issue in China, isn’t that only related to the low alpha grades that you sell, not the high alpha grades.
Paul Boynton: That’s one of the main position that it is related to just the low alpha. But the issues the Chinese are struggling with is how do you differentiate between the high alpha, the CS pulp and the low alpha in the ports. They believe that at least the indications we have at this point that they are able to work around that, but again, we don’t know for certain. They are fairly close vested on this type of things, so we do see that they will be able to work around that and probably target just low alpha level.
Chip Dillon - Vertical Research Partners: Got you. And just one other question on Performance Fibers is I know that you all tend to focus, as you’ve done a great job in showing us sort of your sub-markets in the acetate realm, and I know that one of your competitors had just kind of got bought by a much bigger entity. Is it more in other things, ethers? Are you seeing I guess any cross-over or said differently, are you seeing – does it make sense for you all to try to enter other sort of customer groups in your specialty business?
Paul Boynton: Well I’m assuming you are referring to Buckeye and the primary markets there have been in for the filtration and the high tenacity rayon for high (inaudible). We too are in that market. They are not very heavily into the ethers market, which we are. So we crossover all of the various product segments currently. With our expansion we plan to diversify even further into those markets.
Chip Dillon - Vertical Research Partners: Got you. And then shifting gears, I know its early days, but as you guys call it, if you’ll look at 2014 and ’15, now that you’ve got this big project behind you and what does capital kind of look like. Should we kind of use that 157 we see for the non-CSE part of Rayonier and is there any reason that should change a lot as we look at the next couple of years, assuming that your foot print doesn’t change a lot.
Paul Boynton: Chip is Hans. Yes, I think that’s a reasonable estimate for where we are sitting today. We’ll give you a little more color on that in January, but for now I don’t think that’s going to be too far off.
Chip Dillon - Vertical Research Partners: And then one last one is, we haven’t heard – I think its Terra Point, we haven’t heard much about that for obvious reasons and now those reasons are chaining, It seems like a very rapidly or at least it seems like things are getting in the whole of housing and can you talk a little bit about what you see in ’14 and ’15 as we look at your swap of potential development activity in both Georgia and Northern Florida and do you see – maybe we don’t see tractions, but are you getting busier in terms of maybe making land developable or getting them permitted for development.
Paul Boynton: Chip, its Paul. I think I’ll make some comments on this and I don’t know if Chris wants to come on top of that with any other thoughts. First of all keep in mind, in the last several years from the economic downturn we put a lot of focus on entitling our property, which happened to be a great opportunity for us, because things were relatively quite. There was an appetite to spur activity in different regions. So we put 39,000 acres under entitlement and so we think we are well positioned at this point in time and I think as you correctly observe, things are changing for this business. So Terra Point now is really kind of shifting with one, where we are in terms of our properties, which are largely entitled now and then two, where the market is and where its going. And then Chris committed, but we are seeing and we have some good empirical data that things are different from where they were in the past. And so therefore Chris, who now is onboard with some unique skill sets that we didn’t have before, as well his team are gearing up, to how do we position these entitled properties through and against this oncoming demand. So yes, that is happening. Yes, we got plenty empirical data that we can point to, but we don’t have a lot of external data that we can show you and say look, see this exactly what it is. But that will follow, that will lag and we feel very good that that’s coming around the corner.
Chip Dillon - Vertical Research Partners: Got you. That’s very helpful. Thank you.
Operator: Okay next question, Mark Wilde, Deutsche Bank, your line is open.
Mark Wilde - Deutsche Bank: Yes, I got the question on the sales specialties and then a couple of questions on timber. Jack, just trying to get a sense of sort of the timeline and when you’ll really kind of have a sense of where all these negotiations are shaking out. Would you expect to have that by the late January report or is that something that could carry on through the first quarter.
Jack Kriesel: The timing of our negotiations largely take place in the fourth quarter. They will be ready in our January call to give you details for that.
Mark Wilde - Deutsche Bank: Okay. All right, that’s very helpful. And then Lynn I’m just curious on the New Zealand business. Are there particular things that you watch, that we might also be able to watch, just indicators for the help of that New Zealand business.
Lynn Wilson: Well, clearly one of the things that we feel strongly about is the urbanization movement in China, because 80% of that volume is heading into the housing market, so that low-end housing and construction statistics that come out pretty regularly. In addition to that is port volume movement. So any movement that you can see in port inventories shipping is very indicative of that and in addition to that just overall GDP growth in the China market. So those the three things that we – the Rayonier New Zealand team works very closely with our Chinese team members and they really watch all of those three things pretty closely.
Mark Wilde - Deutsche Bank: I guess Lynn when I looked at our breakout today, sort of that quarterly sales breakup, it seems like you guys might me a little more weighted to the domestic market in New Zealand than the sort of the average New Zealand timber order. Is that correct?
Lynn Wilson: I would characterize it as consistent with Rayonier’s overall track record over the years. Primarily our Southland has a much higher percentage of domestic and it’s really that. So if you take a look at the statistics overall, 34% of our volume is export, of the 66%. But really if you looked in our Northland operations on the north island, it would be a little closer to the 50-50 market.
Paul Boynton: Just to jump in on that Mark, just also keep in mind that domestic volume as well often is highly export focused, and I don’t know exactly and I don’t know if we have statistic that would break that down, but I would think of our business there, at least half, 50/50 export to the domestic and its not more than that.
Mark Wilde - Deutsche Bank: But Paul when say that, is it that some of the domestic winds up being export; is that just because its export in the form of lumber?
Paul Boynton: Lumber, window frames, you name it, yes. Some of it get back here to the U.S. and to our big box stores, because we’ve seen it there.
Mark Wilde - Deutsche Bank: Okay. Would you say the domestic log prices down there tend to track pretty well with the export prices over time?
Lynn Wilson: Yes they do, a very strong coloration and one thing that we’ve seen in the past quarter is that not only are they tracking against exports, but following the earthquake of 18 months ago, the domestic construction really has ramped up. So we are seeing those two factors really driving that domestic log price.
Mark Wilde - Deutsche Bank: Okay, and then just one other question Lynn. I know that you guys have been working on trying to develop more log export business out of the southern U.S. Can you just give us an update on kind of where that’s at and how you think that may develop over the next couple of years?
Lynn Wilson: So, one of the things that we continue to do is to test those markets. So right now we have seen that our log export opportunities on the Atlantic port and in the Gulf port have been modest. We’ve all been container so far, no break box or free hold as we have in our Pacific Northwest operations and so that shipping cost is the break point for us. So right now our domestic markets are better timber margin, but we are continuing to test it, continuing to have a small volume and we are continuing to work with opportunities that would increase that net timber margin.
Mark Wilde - Deutsche Bank: Okay, that’s helpful. Thanks very much and good luck in the fourth quarter.
Paul Boynton: Thanks Mark.
Operator: Next question, Steve Chercover, D. A. Davidson. Your line is open.
Steve Chercover - D. A. Davidson: Thanks, good afternoon everyone. So welcome to Chris and it sounds like you’ve got some new skills, so I don’t know if I missed it, but where did you come from and what are those new skills?
Paul Boynton: Thanks Steve. I’ll turn it over to Chris, but he joined us mid-summer and I did make those comments at that time, but it’s a good point. We should refresh and go ahead Chris.
Chris Corr: Sure. Steve thanks. Nice to meet you over the phone. I think what Paul is talking about might be, it characterizes community development skills background, expertise. I’ve been in that business in a number of places, at a global consultancy called AECOM at the St. Joe Company before that, at the Walt Disney Company before that and my own family business then before that too. So my 25-year plus career has been focused on real-estate economic development and the like in the southeast and otherwise.
Steve Chercover - D. A. Davidson: Great, well forgiven me if I’ve forgotten that from the summer, but thanks for refreshing that. And I don’t know again if I missed this, did you specify at least which region that 21,000-acre sale was?
Chris Corr: Yes, it’s in the State of Georgia.
Steve Chercover - D. A. Davidson: Okay, that helps. And then it sounds like we should have some traction one of the mega sites, correct, at least one data point?
Chris Corr: Correct.
Steve Chercover - D. A. Davidson: And then the final one, I guess for Jack is just, when did it become a parent that the full sell through of the expansion might not come though till 2017. I mean is this almost an issue of – the ramp-up was too good.
Jack Kriesel: No, I think it became apparent more here in the last month or so that we started seeing that the ramp-up may not be as strong in 2014. And we mention that the volume drop off of 90,000 down to potentially 25,000 to 40,000 tons, so about a 50,000 ton drop off. So let me make sure I understand the difference here between CSE expansion and what about our base volume. When you look at our CSE expansion, that incremental volume where we talked about having about 85% committed, that’s still intact. The shift has been in a base volume that we thought had reached agreement earlier this year. But the current market conditions have since changed that and we are still in negotiations with it.
Paul Boynton: So total volume year-to-year. I think therefore we gave you the update as just Jack described and we thought that was important to get that out there. But again, we really view this as kind of a near term challenge and not a longer term issue. It’s about our need to be patient and disciplined in placing this volume out there into the market and then not to chase it with price, and I think Jack and the team are doing just that.
Steve Chercover - D. A. Davidson: No, I certainly agree with that. And not to overstate it, but would the – if you thought you had commitments from some of your core customers, are they actually reneging on commitments or just renegotiating.
Paul Boynton: No, what we are taking about is a contact that expires this year. So yes, I would not get into – call it reneging at this stage.
Steve Chercover - D. A. Davidson: Got it, okay, thank you all for your responses.
Paul Boynton: Thanks Steve.
Operator: Next question Paul Quinn, RBC Capital.
Paul Quinn - RBC Capital : Thanks very much and good afternoon. I’m going to hit you again with the sort of commodity versus specialty DP question. So thanks very much for the additional guidance on when that will be fully transitioned into specialty. I think we sort of understand that. Maybe you could give us some additional color on what you’re seeing in the commodity DP market, because it sounds like you’ll be in that market for longer. And then, is there any of that volume that you’re currently selling in the commodity side, selling to outside of China?
Jack Kriesel: Yes, the commodity dissolving pulp market or viscose market, the demand for that product that goes in the staple in still very strong, its growing at roughly 10% or so a year. The dynamic that has caused the price reduction from that peak of $2,400 ton, down to $800, $900 ton is the fact that over the last few years a lot of conversions took place and they have people chasing that market to the tune of about three million extra tons over the last few years and potentially another couple of million tons over the next two or three years. So what we see is that the pricing is likely to rebound some, but certainly not to the levels that we saw a year and a half ago. We would expect prices north of $1000 type level, maybe a $1100, but until that capacity is consumed and again, at a 10% growth rate with staple growth, that’s consuming about 500,000 tons or so a year of this viscose pulp capacity. So it’s coming on very strong and some of the announced conversions have not taken place.
Paul Boynton: And Jack the only thing I’d add to that is that not only they have not taken place, I think we will expect some folks to go ahead and back out of the market as well. Given where pricing is today, we already know producers out there are basically running at of cash cost or below, we know that that’s not sustainable. Paul, up in your area of Canada you are already aware of an announcement of someone who had changed their plans in that area and not planning to pursue the viscose market and going back into the paper pulp market. So I think we are going to see and hear more and more about that. So I think Jack’s right, you are going to see that continued consumption with the growth of the market in the viscose and you are going to see some folks exiting that, they will tighten that up. The timing on that is always the hard part to determine exactly.
Paul Quinn - RBC Capital : Okay, and then so in terms of the revised guidance of getting 100% in the specialty by I guess 2017, 2018, given your pricing outlook. You do see some kind of rebound in pricing towards the end of that sort of timeframe.
Paul Boynton: Well, I think we certainly hope so, but at point we are not commenting Paul. So we’ll come back to you in January with a little more flavor. Again, we usually just kind of put it out there from a year-to-year, but we’ll advise you as we know about it. It’s obviously looking like pretty dynamic times right now.
Paul Quinn - RBC Capital : Okay, and then just on the negotiations on the specialty side, I thought everybody knew about the capacity additions coming to the market. I think one of the hopeful negotiating push-backs that you guys would have had would be the cost overruns that you experienced at Jesup and my understanding was a lot of that, from your initial $300 million budget to the $388 million final was to hit that time line that you promised your customers. Are you finding that sort of negotiating tactic is not as strong as, I don’t know maybe I was expecting and then, maybe you could give us some color on what your customers' profitability that are using your CS product? Have you seen a drop or have you noticed a drop in their profitability?
Paul Boynton: No. Let me start and ask Jack, let me start with the second one. Certainly we see, and we can go out there because a lot of it is public and on our customer’s side, they are doing – almost all our customers are very well and so no, we haven’t seen a change in any negative direction on the profitability side. And Paul we would comment on that as one of the factors we look at as we discuss pricing and I would say certainly that’s a plus factor when you talk about pricing with our customers, that that’s improved. We also talk about currency is a factor, our cost are a factor and then usually first and foremost is just the demand, the supply demand dynamics out there. I think as for Jack really kind of focused in on that supply dynamics. Our customers overall are good. We are still working very closely. Obviously as all our customers on the trial and qualification and that’s gone well, and we got customers factoring in this new volume into their plans in 2014, but that part hasn’t changed. Its really more of this disconnect we got on a piece of our base volume that’s been the challenge here. Again, it’s too early to call it that nets out, but we thought it was prudent to go ahead and give some guidance out there.
Paul Quinn - RBC Capital : Okay. Thanks very much and then just lastly, just on the timberland side, what do you see in those timberland market? It seems like that market has heated up quite a bit and very challenging and competitive out there. Maybe you could just share some of the color that you are seeing in your market place close to your timberlands and whether you guys have experienced this same sort of issues.
Paul Boynton: Well, I think – are you referring on the acquisition side of things Paul, is it?
Paul Quinn - RBC Capital : Yes, the acquisition and the valuation side, both.
Paul Boynton: Yes. We think valuations are holding well and obviously continuing to improve and increase and we think that’s good. On the acquisition side, you know just year-to-date we probably looked at almost the same amount of property that we looked at a year ago, so there’s still pretty robust availability of timberland our there. I think if there was any change, there would have probably been two. I think we see plenty of dollars going after that availability. So we definitely see that out there and we are seeing a little bit, at least this year, unless that fits our investment criteria. So for example I think this year-to-date, we probably evaluated 40 different properties. I mean we’ve offered on seven of those, which would have been lower that we where last year in terms of our percentage. And we’ve actually only acquired three small properties; about 12 million and that’s obviously separate from our New Zealand acquisition of 140. So again, that would tell us that it’s at least not a sitting for our portfolio as maybe some others. It also tells us again it’s a pretty robust market in terms of timber and timberland values and that we also very disciplined. The last three years we put out there and invested over $700 million and that includes the New Zealand acquisition and we can see the return on those investments and we feel very good about those returns and those investment. So we think our strategy is right on and this nature of that strategy is right on. It just takes a while and a lot of evaluation out there before you can bring them on in.
Paul Quinn - RBC Capital : Well, great, great color. Thanks very much and best of luck.
Paul Boynton: All right. Thanks Paul.
Operator: Mark Weintraub, Buckingham Research Group.
Mark Weintraub - Buckingham Research Group: Thank you. Just returning to the performance fibers again, if I remember correctly, your original expectation was in 2014 that you would ship roughly 600,000 tons of cellulose specialties and about 50,000, 60,000 tons of that commodity viscose. So is that right and so what’s the new mix expected to be and is the reduced cellulose specialty, is that going be commodity viscose or are you going to ship nothing in its place.
Paul Boynton: The original plan Mark was for 2014 we had roughly about 170,000 tons of overall production on the new line and about 25,000 tons of that would be classified as off grade and then about 50,000 tons or so would be as commodity viscose. So based on the numbers we share, if you assume its somewhere between – we dropped down from 90 down to 25 to 40, you would add another 50,000 tons or so of viscose and that which brings it up to about 100,000 tons of commodity viscose.
Mark Weintraub - Buckingham Research Group: Okay, got it.
Paul Boynton: Does that math make sense?
Mark Weintraub - Buckingham Research Group: Yes absolutely. And then so historically – I mean it sounds like there has been massive variation in the spreads historically between the higher alpha product and the commodity viscose. I was going to ask, kind of what a more historic spread has been, but it sounds like its just been all over the map, but I’ll give it a shot anyhow. What might be an average spread between the products?
Paul Boynton: Boy, that’s a tough one to call, but you may have seen the chart that was used in the past that shows the difference between CS and commodity viscose and you can see the cyclicality there. Right now you’re seeing about say $1000 difference and it could be on average maybe $500 in that type of range, but…
Hans Vanden Noort: It’s actually been higher, so it’s truly has it all over the map.
Mark Weintraub - Buckingham Research Group: Right. Okay, and then just one last thing and maybe I misunderstood this or misread this, your production costs, when you are making the commodity viscose instead of the cellulose specialty. Is it higher or lower or is that something you can call, because I got a sense it was higher based on something that was in one of your releases or something you were just saying on this, the call here.
Paul Boynton: Yes Mark, I think what we just tried to distinguish is the production cost of commodity. Viscose is higher than the production cost of absorbent materials and that’s just because you have basically have less product coming out with the same number of wood tons going in. So as you recall the conversion, we’re basically giving up around 250,000 or 260,000 tons of absorbent materials in exchange for about 190,000 tons of specialties or commodity viscose, either one. So you obviously have less fixed cost absorption over a fewer number of tons.
Mark Weintraub - Buckingham Research Group: Okay. And I realized that you may not want to comment on this for competitive reasons, but as we’ve just been trying to model it out, is the cost commodity versus the chemical, the specialties, is it just kind of a temporary change. Is there a big difference? Is it a lot less expensive to be running the commodity viscose than the say less specialties?
Paul Boynton: Yes, it’s less expensive. Not the same magnitude as (inaudible) versus CS, but its less expensive then than CS.
Mark Weintraub - Buckingham Research Group: Okay, thank you.
Operator: Next question from Collin Mings, Raymond James and Associates. Your line is open.
Collin Mings - Raymond James: Thanks and good afternoon. A couple of questions. First off, I saw on some news reports out in New Zealand about some storm damage on some of your timberland. Can you maybe put some more color around that or update us on any sort of impact there?
Lynn Wilson: Hello Collin. Yes, we have a few details for you from that. We had a storm on September 10 as you saw on the news story and we had an area of about 1,500 hectares or 3,700 acres and really the primary monetary impact to us this past quarter was that we had a write down on some premerchantable timber, so its very modest and that’s reflected in our financials, and going forward what you’ll see is that we’ll have to in 2014 start with some of that volume and that will go into the domestic markets. We’ll have an impact of moderately higher log in cost, but really not a big impact to the overall operations and total volume.
Collin Mings - Raymond James: Okay, alright, thanks Lynn. And then just some of your peers have recently discussed the potential to work with some institutional timberland owners, but are kind of unhappy with the TMO model. So I was just kind of curious as far as how you guys are thinking about potential JV partnerships as it related to timberland opportunities. I know you guys already touched a little bit on the acquisition environment, but just from that angel I’ll be curious of your thoughts.
Paul Boynton: Well, I think we have a great JV in New Zealand right now, so we’re obviously working to really maximize that one and while here in the States we’re not really too actively searching for that opportunity.
Collin Mings - Raymond James: Okay. And then I know you guys can’t comment in much detail about just the kind of the reference you made to the sales of the national homebuilder, but just broadly speaking, in this order of magnitude, can you guys maybe speak to what you guys think (a) maybe an acre of kind of entitled land would go for in one of your HBU markets in that Jacksonville area, compared to what raw timberland would be worth.
Chris Corr: Hey, this is Chris and I think you know that all real estate markets are local, so the prices can vary widely. Just honestly depending on where your standing, I mean from one side of the street to the other, certainly from one zip code to the next. So your always going to get a wide range in answer to that kind of a question, but recently some data points we have and conversations around certain opportunities are giving us a little bit of direction there. For example in the St. Johns County, which is the county south of Duval, where the city of Jacksonville is located. Fairly active market rate now and we’ve seen a pricing for the land there and the some 35, 40 – I’m sorry, $18,000, $15,000 range, somewhere in there, so that would be one data point. Obviously if you go up the interstate a little further it can be very different in a variety of directions. So lets just hope that helps you a little bit, okay.
Collin Mings - Raymond James: Sure, no. That's helpful color, thanks. Just real quickly, just going back to the cautious commentary regarding the specialty grade dissolving pulp pricing and I know you've already addressed a number of questions and Paul's question in particular. I'm a little surprised in the sense that none of your customers continue to report pretty strong results in kind of their respective segments in that business. But can you maybe just remind us, as it relates to the demand outlook, I think clearly the issues you are seeing are on the supply side, but you can just kind of recap what you're seeing on kind of the demand outlook, especially as it related to more of the acetate end uses, as well as the food and pharmaceutical applications that I know you guys are striving to focus on the ether side?
Jack Kriesel: Paul, this is Jack. I’ll take a shot at that. In the acetate arena overall we’re looking at around a 1% to 2% type growth rate and that’s obviously driven by the filter tow type applications. Some of the specialty applications for example are in the LCD arena and that has flattened out somewhat as the films that they are using is getting thinner and thinner. In the plastics there is some small growth and in yarn it maybe flat to a small growth there. So overall in the acetate you’re looking at 1% to 2%. In the ethers area, quite varied again and as we have already discussed and our competitors have noted, the construction segment in Europe has been stagnant, but again we don’t participate much in that arena. The food and pharma, that continues to grow at very healthy rates. However there are some instances, short-term type instances where we see some fluctuation in that. But longer term our ethers customers all believe that your looking at the upper single digit type levels for growth rates in that arena. And then high-tenacity rayon, really we have to look at both, sausage casing and tire coat separately. The sausage casing is growing quite strong, around the 5% to 6%. High-tenacity rayon, while it was relatively flat for a couple of years is actually picked up a little bit, maybe 1% growth or so and in the filtration market likewise, its growing at a 2% to 3% rate at the current time. I think I’ve covered most of the key areas there.
Collin Mings - Raymond James: Yes, I know, thanks for that color Jack. I know you guys don't like to provide a whole lot of detail, obviously until the first call in 2014, but just what you're seeing right now in the marketplace. I know you guys mentioned another key component as you sit down for these negotiations is the cost side of the equation. Can you maybe just talk about what you're seeing in terms of caustic soda and just other chemical costs, and put a little bit more color around that for us as well?
Paul Boynton: In the area of chemicals we don’t see a significant shift. You know the biggest driver for us is caustic and year-over-year this year it’s been relatively flat. Some ups and downs throughout the year, but relatively flat. The biggest driver for cost for us is in fiber and as mentioned earlier, the wet weather has really driven up our fiber costs year-over-year from 12 to 13. It’s been about a 10% to 12% increase; that’s hardwood and softwood combined. Hardwood would obviously be the higher end, because its in the wetter areas and more difficult to get. So depending upon the weather going forward, that’s going to have the biggest impact on our fiber cost.
Collin Mings - Raymond James: Okay. No, thank you for all the detail there and good luck during the quarter, especially as it relates to you finalizing these price negotiations on the dissolving pulp side.
Paul Boynton: Thanks Collin.
Operator: (Operator Instructions). Our last question comes from Mark Wilde, Deutsche Bank. Your line is open.
Mark Wilde - Deutsche Bank: Yes, just a couple of clean-ups on the land side. I wonder, can you guys just remind us, what portions of your lands do you have any subsurface rise with?
Lynn Wilson: Mark, this is Lynn. That is an ongoing process for us to determine. That’s strictly with all of our new acquisitions, so at this point in time on our legacy timberland, we still are working through the title on that and it also changes over time, because some of our properties are reverting due to state loss, so we don’t have an actual number. Depending on which region it is, anywhere between 35% and 50% we have our mineral rights on.
Mark Wilde - Deutsche Bank: But there will be some things that you bought, where you actually – you’re not quite sure whether you got that or not?
Lynn Wilson: Well, we have to do titles because of the state provisions. Some of those states revert after 10 years.
Mark Wilde - Deutsche Bank: Yes, its like the thing in Louisiana, is that right?
Lynn Wilson: Correct, so. I don’t want to put a particular number, so there is a range there.
Mark Wilde - Deutsche Bank: Okay, alright. And then the other one that I wanted to bottle in, you’ve got competitors who are also getting into ownerships or participations in other types of hard assets. Does that make any sense for you and how does that get treated from a REIT standpoint?
Paul Boynton: This is Hans. At this point we’re still just focused on acquiring timberlands. We mentioned we spent about $700 million expanding our acreage here over the last three and a half years and that’s really been our sole focus. That avenue I’m sure suits others, but for us right now we want to stay just focused on the timberlands.
Mark Wilde - Deutsche Bank: Okay, no gravel pits for you.
Paul Boynton: I don’t think Mark and if you ask out on the street I think there’s a better question for the other folks, because we don’t know what the – how they are actually treating.
Mark Wilde - Deutsche Bank: Yes, that’s fine. Alright, good enough, thank you.
Operator: Okay, at this time I have no further questions.
Paul Boynton: Thanks everybody. Please do contact Ed Kincaid for any follow-up questions. Thank you.
Operator: Okay, thank you. That does conclude the call for today. You may disconnect your phone lines at this time.